Operator: Ladies and gentlemen, thank you for standing by. Welcome to FutureFuel 2014 Second Quarter conference call. At this time, all participants are in a listen-only mode. Following management’s prepared remarks, we will hold a question and answer session. To ask a question at that time, please press star followed by the one on your touchtone phone. If anyone has difficulty hearing the conference, please press star, zero for operator assistance. As a reminder, this conference is being recorded today, August 8, 2014. I’d now like to turn the call over to Mr. Lee Mikles, President of FutureFuel Corp. Please go ahead, sir.
Lee Mikles: Good morning. This is Lee Mikles from FutureFuel. Thank you for participating in today’s call to discuss FutureFuel’s 2014 second quarter financial results and business progress. Joining me today from FutureFuel today is our Chief Financial Officer, Rose Sparks. I like to remind listeners that comments made during this call will include forward-looking statements within the meaning of the federal securities laws. These forward-looking statements involve risks and uncertainties that could cause actual results to be meaningfully different from any anticipated results. For a list and description of these risks and uncertainties, please review FutureFuel’s filings with the Securities and Exchange Commission. Please note that the content of this call contains time-sensitive information that is accurate only as of today, August 8, 2014. FutureFuel disclaims any intention or obligation to update or revise any financial projections or forward-looking statements whether as a result of new information, future events or otherwise. With that out of the way, I’d like to turn our attention to our second quarter results. Q2 ’14 financial results were weak compared to our record quarter in the prior year. Revenues were down 24% from Q2 2013. Adjusted EBITDA totaled $6.7 million, down 74%. Net income decreased to $5.3 million or $0.12 per diluted share from $18.2 million or $0.42 per diluted share. Rose will walk us through the details and then we’ll be available for questions. Rose?
Rose Sparks: Thank you, Lee. Good morning everyone and thank you for joining us. For the second quarter, revenue decreased 36% to $68 million from $106.1 million in the prior year quarter. Biofuels revenue decreased 45% to $35.4 million. We experienced biodiesel sales volumes with a lower average selling price. Chemical revenues decreased 22% to $32.6 million. Revenues decreased primarily on sales volumes for the following: our bleach activator was down 19%, proprietary herbicide intermediates was down 51%, antimicrobial intermediates and other custom products was down 38%. Partially offsetting these decreases was increased sales volumes from other performance chemicals of 33% from an existing product line and from a new product, and DIPB and CPOs were up 7%. Within the other custom chem product portfolio, we lost sales of a product to a substantial customer that was sold on a purchase order basis and we had reduced sales volumes from discontinued production of another custom chemical product due to lack of demand. We also experienced reduced sales of a product due to timing of shipments. Gross profit for the second quarter decreased 76% to $6.6 million from $27.6 million. Biofuels gross profit decreased to a loss of $0.6 million as compared to income of $12.8 million in the second quarter of 2013. This difference resulted from, one, severely weakened marketing conditions for biodiesel largely as a result of the absence of the dollar blender’s credit and the absence of a final mandate from the EPA for the 2014 RVO. Secondly, impacting it was the inventor of unsold internally generated RINs. We do not allocate production costs to internally-generated RINs, and from time to time we enter into sales of biodiesel on a RINs-free basis. We had minimal RINs at June 30, 2013. Thirdly, we had hedging losses this quarter of $0.3 million as compared to hedging gains of $2.3 million in the prior year period. Fourthly, partially offsetting these reductions in gross profit was a shift of fixed costs to chemicals during the quarter. Chemical segment gross profit decreased 52% to $7.1 million. The reduction in gross profit was primarily attributed to the change in sales volumes and the shift to fixed costs, as previously mentioned. In addition, the reduction was somewhat attributed to yield losses which are being resolved but did slow our production and sales volume. To a lesser extent, higher raw material costs were incurred during the quarter, part of which will be recovered in the third quarter. Earnings from operations decreased 83% to $4.2 million. Net income totaled $5.3 million for the second quarter of 2014 or $0.12 per diluted share. This compares against $18.2 million for the second quarter of 2013 or $0.42 per diluted share. For the six months ended June 30, 2014, revenues decreased 24% to $150.2 million as compared to $198.2 million in the first half of 2013. Biofuels revenue decreased 25% to $87.4 million. Gallons sold decreased, as did the average selling price of V100 given weak biodiesel market conditions. Revenues from chemical sales decreased 23% to $62.9 million. Revenues for each product line changed as follows and were primarily attributed to reduced sales volumes: the bleach activator decreased 21%, proprietary herbicide intermediate decreased 57%, other custom chemicals, including the antimicrobial industrial intermediate decreased 37%. Slightly offsetting these decreases was a 12% increase in revenue for CPOs and DIPB and a 30% increase in revenue from performance chemicals from a new product. Gross profit for the first half of 2014 was $16.2 million, down from $49 million in 2013. Gross profit for biodiesel decreased 74% to $15,000 for the six months ended June 30, 2014 as compared to $43.9 million in the same period of 2013. The significant reduction was largely the result of a combination of the following: the expiration of the dollar per gallon blender’s tax credit on December 31, 2013; the first six months of 2013 included the benefit of the retroactive reinstatement of the 2012 blender’s tax credit of $2.5 million. We also had hedging losses which totaled $294,000 in the first six months of 2014 as compared to hedging gains of $3.7 million in the same period of 2013; and last, the establishment of an inventory of biodiesel RINs at June 30, 2014 when no such inventory was present in the prior year. Chemical gross profit decreased 42% to $16.2 million, down from $27.9 million in 2013. This reduction was largely the result of reduced sales volumes, particularly for again the proprietary herbicide intermediate, two other custom chemicals we no longer sell, the bleach activator, and the timing of shipments of a product we sell. Also impacting gross profit was lower production yields for certain chemicals which are not expected to continue but did delay the quantity of product shipped to our customer. Earnings from operations was $11.6 million in the first half of the year as compared to $43.9 million in the first half of 2013. Net income totaled $11.6 million for the first half of the year or $0.27 per diluted share. This compares against $32.2 million for the first half of 2013 or $0.75 per diluted share. Lee, that concludes my remarks. I’ll turn the call back over to you.
Lee Mikles: Thank you, Rose. This time last year, I commented that I hoped that the EPA would continue to support the growth of biofuels as they considered their proposals as it relates to the RVO, the Required Volume Obligation. But a year has passed and we’re still awaiting the final numbers on those 2014 volumes. Meanwhile, the industry is severely suffering from that lack of clarity, not just us but the whole industry. From a value perspective, the RIN – the Renewable Identification Number – and you’ll recall that that equals 1.5 times for biodiesel for gallon, is worth less than half of what it was at the end of this quarter a year ago. In addition to that, we have the absence of the $1 tax credit per gallon, so you can see the economics of the business are substantially different than they were a year ago. Again, those are things that are completely out of our control or out of the control of anybody else within the industry. It is clear without the volume mandate that there is no incentive for the obligated parties, and think of the obligated parties as refiners typically, to use renewable energy to displace foreign oil, so that’s really the disruption in the industry. Until we get some clarity out of the government, it probably continues to be a difficult spot. That aside, we are a chemical plant and our efforts to implement new chemical growth has not been what we’d hoped for. We’ve really struggled to bring up a new proprietary herbicide intermediate plant and in executing sales for new customers – not existing, new customers on the laundry detergent additive. These have terrific potential, but we have not delivered on them so far. In addition, we had hoped to have a refined glycerin plant operating in the second quarter, but we were not able to make that happen. The expectation, though, is that that plant will be ready in the not-too-distant future. The timing of that is really uncertain, but I can say that it is progressing positively at this point. So we continue to see declines in our larger contracts – that’s not anything new, that’s continued to press forward, but we endeavor to replace that, those reductions, and to build our product portfolio. We do remain optimistic about the future prospects. In the third quarter, we will realize deferred revenues related to the shortfall fees received from the intermediate anode powder customer that gave notice of contract a year ago, the expiration which is actually tomorrow. We have made improvements in the proprietary herbicide intermediate in the third quarter, and we’re not up to full rate yet on that new plant and you have a lot of timing issues with this stuff when you bring up something new, because you never know the problems you’re going to hit, but we have made significant progress vis-à-vis the prior quarter. We have started to see a meaningful reduction just recently in the feedstock prices for biodiesel. We’ll continue to buy up opportunistically and hope that the EPA’s final RVO, which is eight months behind schedule by the way, and hopefully a reinstatement of the dollar per gallon that’s yet to be seen. We have added Mr. Paul Flynn to our team and are excited about his experience and knowledge. He comes from Monsanto, was a senior executive there, so we’re very excited to have Paul on board and continuing to build our management team. With those comments, I’ll open the call up to questions. Operator?
Operator: [Operator instructions]
Lee Mikles: Just a couple of final comments to clarify what I said before we take the first question. Biodiesel is what it is. The marketplace is challenged for us and for our competitors. I think we’ve done as well or better than virtually anybody out there. On the chemical side, it’s been mostly self-inflicted. You’ve got a couple of projects coming up at the same time, they’re difficult to do. We’ve been a little bit disappointed with both of them in terms of getting them up to rate; but again, it’s within our control and again it’s about execution, and unfortunately that was not probably our finest hour. So we’ll endeavor to do better and we’re up against some pretty hard comparables last year, so it probably just magnifies those challenges.
Operator: Our first question is from Jon Tanwanteng with CJS Securities. Your line is open.
Jon Tanwanteng – CJS Securities: Hey, good morning guys. Thanks for taking my questions. Just on the glycerin and the herbicide and other ramps, what exactly have been the production issues or ramping issues, and when can we expect kind of full rate production on each of those?
Lee Mikles: Well first on the glycerin, that’s a new refining process for us. We really believed that we would have that running at rate in the second quarter, Jon, and weren’t able to do that. We continue to see a progress there. We’re not up—we’re not fully up on that project, as we said today, although we see positive progress. And again, a lot of this is one-off, as I think that we’ve discussed on calls before biodiesel, whether it be on the production side or on the glycerin side, you engineer it, you build it, you work out all of the kinks in that process, and we’re in that period right now. So we hope to have it up as soon as possible, but it’s still a work in progress. On the chemical side, that’s a new customer, a big customer. It’s a bit potential contract for us. We thought we’d be up to rate much earlier than we have been, and we just encountered problems as we tried to bring that to full rate. Again, we’re substantially moving towards that but we’re not up to where we or the customer would like to be. So I think there’s big potential in both of those, we just probably didn’t have our best quarter in terms of execution. That’s probably the best way I can answer that, Jon.
Jon Tanwanteng – CJS Securities: Okay, got it. Are you carrying extra costs or capital expenses as a result of that – you know, you’ve had to invest more to get them to up to speed?
Lee Mikles: Yeah, probably. I don’t think it’s real meaningful. I don’t really have those numbers at hand, but yeah, I’d say in a minor way that’s probably true. Anytime it takes more time, it costs more money.
Jon Tanwanteng – CJS Securities: Okay, got it. Then just on the chemical segment itself, revenues were actually okay by our measure. I’m just wondering what the components of the margin headwinds were between the fixed cost allocation yield mix and other components, and do you expect those to improve sequentially?
Lee Mikles: Again, I don’t know how granular you want to get, but Rose, you want to handle that?
Rose Sparks: Sure. We did incur some yield issues in the second quarter, but we do—like I said previously, we do believe those are resolved. Obviously we are a fully integrated plant here, so yes, there was a shift in fixed costs in the second quarter where chemicals carries more burden than biofuels. But as Lee said, as the feedstock costs are coming down and the market appears to be opening up a little bit for us, we hope that we don’t experience that shift for the third quarter. I believe that answers your question, Jon.
Jon Tanwanteng – CJS Securities: Okay, thanks. Then just on the biodiesel side, is there a time frame or expected outcome for when the EPA or the government may talk about the RVO or potential reinstatement of the subsidy?
Lee Mikles: Yeah – July! So it was expected much earlier. If you look historically, a lot of times those decisions had been made at the end of the prior year. They had until the end of July to make it. They could have made it anytime along the way. They received comments in June, as late as June, and were scheduled to make that final determination, which kind of holds up the whole industry. That’s something that people need to understand – the obligated parties, everybody thinks it’s this 1.28, but the rumors are circulating out there that that number is going to be revised higher when we get the final from the EPA. We haven’t gotten anything, so it kind of keeps everybody off balance and it affects the whole industry. So they are months and months behind typically of what transpires, Jon, and again kind of their self-imposed limit was July and we sit here in August without a final determination.
Jon Tanwanteng – CJS Securities: And if that number does actually come out higher, is there a rush to produce and get those RINs in the back half of the year?
Lee Mikles: I hope so. I mean, that would be the expectation. You would think that a lot of obligated parties are sitting there saying, gee, we don’t really know what we have to do and is it going to be raised or not, and we’ll cross that bridge when we get to it. Unfortunately we haven’t gotten anything out of the EPA. The other thing is the dollar credit – I get asked constantly, so I’ll just kind of cut that off because I know I’ll get that question about the dollar. I don’t have a crystal ball any better than anybody else’s. We look at the Senate bill constantly to see if there’s any movement. Senator Cantwell out of the State of Washington and Senator Grassley are the two sponsors on both sides of the aisle. There hasn’t been any movement. I think the anticipation in the industry is that if that dollar is reinstated, both retroactively and prospectively, it will probably be in a lame duck session. That’s our view – don’t know whether that happens or not, but that’s where we are.
Jon Tanwanteng – CJS Securities: Okay.
Rose Sparks: Jon, let me also add to that that FutureFuel is—we are in the voluntary quality assurance program with the EPA, and so our RINs are certified under that program once the market does come back on the RIN value.
Jon Tanwanteng – CJS Securities: Okay, great. Thank you. Just one quick final one – given the industry-wide headwinds, how should we think about M&A opportunities in biodiesel?
Lee Mikles: I think that’s probably—you know, Jon, we’ve kind of discussed this on calls, and when people get together in the industry, when you look at it over time, this kind of reminds me of 2012 where you operated a lot of the year—well, you actually had it a couple of times over the last six or seven years where you didn’t have a subsidy during the year, and they kind of come in and do it retroactively, which doesn’t help all parties – it depends on who you sell to. But a lot of guys either operate unprofitably as long as they can, and/or they close down. If this was to continue, the state of the market continues to be challenged for, let’s call it another six to 12 months, I would think there would be substantial opportunities because I imagine a lot of plants will have to close down and/or will run out of money. With the type of balance sheet that we have – very strong, no debt – there will be, I think, substantial M&A opportunities for us if that’s to last. Again, I’ve always been a little bit negative on the subsidies because it always puts the knuckleheads back in business, and although you have short-term discomfort and it hurts your profitability in the short term, longer term the most efficient producers should then come out on top. So it’s kind of the way I look at it – in the short term, it’s better to have the subsidy; longer term if you can get through these periods and you have the strong balance sheet and a low-cost producer in the market, I think that you prevail.
Jon Tanwanteng – CJS Securities: Okay, great. Thank you very much.
Lee Mikles: Thank you, Jon.
Operator: Our next question is from Craig Irwin with Wedbush Securities. Your line is open.
Craig Irwin – Wedbush Securities: Good morning. Lee, I also wanted to ask you a few questions about the issues on chemicals this quarter. So can you discuss this new herbicide intermediate program, and maybe clarify for us whether or not this is a problem with demand or anything on the customer side. Also, maybe you could discuss what’s different about this program versus the program you’ve served historically, and if you could clarify for us whether or not this is a situation where you’re competing against a third party out there which has historically supplied this customer, or if this is something that’s possibly transitioning from internal production at your new customer.
Lee Mikles: Wow, you’ve asked a really important question, Craig. I’ll make it real simple and then I’ll fill in the gaps. It’s self-inflicted. It’s not a demand issue at all. The demand is there from the customer. The need is there from the customer, but it is bringing up a new process within the reactors, if you will, Craig, that we had historically used. But it’s a significantly different process. It’s a big investment on our part – you know, we get back from the customers, we produce product. So we want to get to our maximum value as soon as possible, but it’s been trickier than we had hoped for. Again, the majority of it, I think we’ll take the blame on because it’s our responsibility to get it up to scale as quickly as possible because the need is there from the customer. It’s not a competitive issue. Again, it’s our ability to be able to produce, and things get into those as they would with any contract – is it their engineering process that we receive and build out that is the problem, or is it our ability to execute on their engineering? So there is obviously with any customer give and take, back and forth; but again, it’s not a competitive threat. It’s not a lack of demand from the customer. It’s our ability to bring it up to rate, and again we’re producing product, and a lot of product, but not as much as the contract would call for if we could produce at that level, and we’re hopeful to get that to rate as quickly as possible. But again, it’s a race to the next bottleneck, and that’s what happens when you bring up these new processes.
Craig Irwin – Wedbush Securities: Okay, and then just to clarify in there, have you produced product at specification for this customer, something that meets all of their quality and other specifications to accept your product?
Lee Mikles: Yeah Craig, that’s not the issue. The issue is just volume. The product is on spec. It’s being delivered. It’s not being delivered in the volume that the contract had specified or we had hoped to be producing at this juncture.
Craig Irwin – Wedbush Securities: Okay, and do you feel that you’ve identified the solution to accommodate that increased volume of production that your customer has demand for?
Lee Mikles: This is the first time that we’ve produced this product, and we’ve basically redesigned this particular part of the plant reactors. Identifying it is, like I say, the race to the next bottleneck; and again, you’re working with engineering and processes that are first time out. You think you’ve got them all identified ahead of time, and typically you do not; and this has been a little more challenging to get it to rate. Not to produce product, but to get it to rate, so to say we’ve identified them all, we would have fixed them all. Again, we continue to ramp, I don’t want to say each and every day, but we continue to ramp on a constant basis, but again we’re not fully where we’d like to be.
Craig Irwin – Wedbush Securities: Understood, that’s very helpful. Just to change subjects a little bit, biodiesel – so during this past quarter, we saw a pretty significant inversion in the market between some of the rendered feedstocks, cooking oil, choice by grease, et cetera, and soybean oil. Soybean oil became very profitable to the point where it was almost as profitable as it’s been in many, many years to product biodiesel. I know you are very diligent and proactive in your feedstock procurement, but is it fair to assume that you had some commitment that precluded you from switching in the quarter, or maybe could you discuss whether or not this was something that was available to you in the quarter and whether or not this is something that might be available to FutureFuel in the back half of the year if we don’t see this market dislocation correct?
Lee Mikles: Well I will tell you, Craig, that the market has just recently loosened up a lot, so there’s been a lot of movement; and again, I’m not saying anything that isn’t in the public domain. You can search all these, and obviously you have. The feedstock availability is more robust right now than it has been prior—earlier in the year. You had a lot of feedstocks going offshore, it appeared to us, especially in the grease markets; but yeah, there’s been a big dislocation in the market all of a sudden that has dropped these feedstock prices pretty dramatically. With soy coming down so dramatically, it helps a lot because that’s the easiest feedstock to use if anybody uses it. Typically we don’t because it’s too high priced, but all of a sudden you’ve got this unlocking of feedstocks kind of across the board because everything kind of track soy, more or less. So again, I think there’s big opportunities in the back end of the year if you have the storage to be able to take it, which we do. So again, anybody who had bought feedstock prior is probably sitting on a loss on that vis-à-vis where the market is today, but new feedstock acquired going forward, if they have the ability to store it, should be a significant advantage for them.
Craig Irwin – Wedbush Securities: Got it, thank you for that. Then two housekeeping questions. In the quarter, we noticed about a $25 million build in inventory. Can you discuss that and maybe give us clarity on whether or not that’s on the chemical side or the biodiesel side, if it’s raw materials or finished product?
Lee Mikles: I tend to believe it’s biodiesel, but Rose, could you take that?
Rose Sparks: Yes, it’s two things. It’s primarily biodiesel and then it’s also some inventory that we hold in the common carrier pipeline.
Craig Irwin – Wedbush Securities: Okay, excellent. And then second financial question, maybe this is for Rose again, but the size of the payment for the take-or-pay on the battery anode contract, is this likely to be the final payment, and do you have the actual number for us?
Rose Sparks: It will be the final payment, and I think we reported last year that that number was $8.5 million roughly.
Craig Irwin – Wedbush Securities: So $8.5 million, 100% margin in chemicals in the third quarter – is that correct?
Rose Sparks: Correct.
Craig Irwin – Wedbush Securities: Okay, excellent. Thank you very much for taking my questions.
Lee Mikles: Thank you, Craig. Operator? I guess there’s no more questions at this time?
Operator: We do have one more question – sorry about that.
Lee Mikles: We do have one more? Okay.
Operator: Our next question is from David Windish with Newton Management. Your line is open.
David Windish – Newton Management: Hi, good morning. I just wanted to know, could you give any more detail on the loss of the substantial customer in the chemical segment? Is that customer now buying from someone else? Was there a hiccup in demand for the end product? Any detail you could give on that?
Lee Mikles: Again, they’re drawing product from elsewhere. We’ve talked about this in the past – it’s not completely unanticipated, but again running off quicker than we thought that it probably would. We’ve got pretty good foresight into what’s going to happen with these customers. Sometimes it goes a little bit quicker or a little bit slower than you think, and this is not completely unanticipated but you’ve got to replace those customers with new ones, and again there’s usually a process change that has to take place. So again, it isn’t so much on the demand side, it’s that they’re able to pull product principally out of China and we’re not able to compete with that, nor do we want to compete with that. It doesn’t have the return characteristics that we would look for, so it’s probably run off a little bit quicker than we would have liked.
David Windish – Newton Management: Okay, and did that customer make up the majority of the other custom chemicals revenue in 2013?
Lee Mikles: Could you give us a breakdown on that roughly, Rose?
Rose Sparks: I would not say primarily, I would say partially.
David Windish – Newton Management: Okay, so less than 50%?
Rose Sparks: Yes, less than 50%.
David Windish – Newton Management: Okay. Then on the proprietary herbicide, the new customer, can you talk about where you were in the second quarter relative to where your customer’s demands were? Were you at sort of 50% of the amount of capacity they were looking for?
Lee Mikles: I don’t think we’d like to give that granularity, but I would tell you that it’s better now than it was. It’s improving. It’s not to full rate yet. Again, the quicker we get to full rate, the more product we’ll sell to that customer, and he’ll take all that we can take under the contract. So again, it’s on us to get it there and we continually move higher on that rate. I don’t want to give the number for the quarter – I’m not really comfortable with doing that, and I don’t think the customer would be either.
David Windish – Newton Management: Okay. Maybe more generally, then, any comment on total capacity utilization on the chemical side for the quarter and where you think that might move in the next quarter too as the herbicide and some of the other products ramp?
Lee Mikles: Again, I think the plan continues—you know, if you go back over the last couple of years, we’ve continued to expand the utilization rate at the plant. This plant, like any chemical plant, will never be 100%. It’s just the puzzle doesn’t fit together that way. So we anticipated that the plant would be substantially full sometime in the next year. We’re still hopeful that that happens, but again that’s going to have to include some additional sales that are in the process of being negotiated and bringing the current production up to full rate. So again, I think some of our challenges in this quarter, a lot of them on the chemical side were self-inflicted; but going forward, it’s about fixing those and continuing to bring on new processes and getting the plant as close as possible to its full potential.
David Windish – Newton Management: Great, okay. I think Rose made a comment in the prepared remarks about there being some biodiesel RINs in the inventory. Could you give the dollar amount of the biodiesel RINs in inventory?
Rose Sparks: I would not be comfortable doing that.
David Windish – Newton Management: Okay, great. Those are all my questions. Thank you.
Lee Mikles: Thank you very much.
Operator: Thank you. It looks like we do have a follow-up from Jon Tanwanteng with CJS Securities. Your line is open.
Jon Tanwanteng – CJS Securities: Hi guys, just a quick one. Lee, can you comment on the biodiesel sales by month – was it pretty continuous throughout, or was there a pretty steep fall-off towards June, and kind of comment on how that look through July as well?
Lee Mikles: Yeah, it was fall-off in June, and a lot of that is our own decision. Some of it is demand, clearly, as there’s no clarity in the RVO, but really it becomes a function of price, too. When there’s no clarity, the customer isn’t going to be as aggressive in coming after the product, and we’re not willing to give away our product in those types of environments. So some of it is within our discretion to hold product from the marketplace when we don’t think we’re getting the prices that we want, so I think that we saw a slowdown in June but a lot of that was a decision on our part as it came to pricing.
Jon Tanwanteng – CJS Securities: Okay, great. Thanks again.
Operator: Thank you. I’m not showing any further questions at this time.
Lee Mikles: Thank you all very much for your interest in the company. I appreciate it, and we’ll endeavor to do better in the next quarter and get back on track to the execution level that you’ve come to expect. Thank you all very much and we’ll look forward to talking to you next quarter.
Operator: Ladies and gentlemen, this does conclude the program. Thank you all for joining. Everyone have a great weekend.